Executives: Isabel Goiri - Head of Investor Relations Ángel Cano Fernández - President, Chief Operating Officer, Director, Member of Executive Committee and Member of Global Asset Allocation Committee Tomas Blasco Sánchez Manuel González Cid - Chief Financial Officer and Head of Finance Division
Isabel Goiri: Good morning, everyone, and welcome to this webcast with the presentation of the BBVA Group earnings for the fourth quarter of 2013. As we usually do, Angel Cano, the Group Chief Operating Officer, will give the presentation, and then we'll have questions and answers, which he will talk through, along with Manuel González Cid, who is the CFO. And any questions that we can't deal with during this webcast will be dealt with by the Investor Relations team sometime during today. Ángel, you have the floor.
Ángel Cano Fernández: Good morning, and welcome to today's presentation of the results of the BBVA Group for 2013. As we've been discussing the different webcast and presentations we've had this year, 2013 has been a difficult and intense year, not just in regulatory terms that it was, but also in terms of the macro environment. The developed economies have begun to show signs of recovery, maybe most important is the big drop in the risk premium we've seen during the year. And in the second part of the year, the improvement in the economic outlook, not just with respect to the year-end, but also with respect to this year, 2014, starting in Europe which is where we've seen probably the clearest signs of recovery. First of all, we see good progress being made to -- as we move towards close of banking union. And then the economic outlook has been reinstated several times the end of the year. If we look at the growth of GDP for the whole region, it should be minus 0.4 according to our research department. And for 2014, the average that we are expecting would be a growth of about 1%. Here in Spain, looking at what's been happening over the last few months, we can say that probably the worst is behind us. We left the recession in the third quarter. In the fourth quarter, we were clearly out of it, and we are expecting to end 2013 with a drop of about 1.2% in GDP. But more relevant still in terms of the better outlook, which I referred to before, in 2014, the expectations of a growth of about 1%. However, we shouldn't forget that in Spain, more structural reforms are still necessary, especially to deal with the main problem in the country, which is unemployment. In the United States, over the year, bit by bit, we've seen the reduction of the political tensions present the beginning of the year, and especially in the final bit of the year, we saw a clear-cut, sustained economic recovery. We think that the year-end for the U.S. will be a growth slightly below 2% in its GDP, and this is proven by the behavior we see in the final quarter when there was a growth of over 3%, it was 3.2%. And looking ahead to 2014, we estimate a growth of about 2.5% in the U.S. GDP. Of course, this will depend on their careful management of their economy. There has been some turbulence in the developed economies during the year, although it depended on the different countries, in Latin America definitely, but also in China, where there was a drop in economic growth although still they had grown faster than 7%. There was the tapering from the United States which has an impact on the volatility of the currencies of some of the emerging economies. So at the end of the day, the emerging economy can expect a year-end growth of about 6%, and in Latin America, the growth were probably about 3.2%. Mexico, which is a very important region for us in BBVA as part of Latin America, during the year, has shown that it could cope with the events that it saw. Launching and implementing reforms, 7 reform bills went through, the most important one was the energy reform that was enacted before the end of the year. And that means that Mexico's growth rate should hit a cruising speed of about 3% during 2014, a very comfortable kind of growth. If we now look at the highlights of our own performance in the BBVA as we always do, we can start by repeating that one of our key aims, the hallmark of what we do, is the sustained generation of recurrent earnings, of recurrent revenues. So this quarter, well, the complete year 2013, that's been the hallmark of our management, the outcome, the diversification of the businesses that the group has, reaching an operating income of EUR 21.39 billion in terms of risks. In the year as a whole, we can see that the main spotlight has been on Spain in the third quarter. We've had the reclassification that we had to do because of the regulations on refinanced loans. The hallmark here of the end of the year 2013 has been in the last quarter, our performance was stable, and we can say that the net additions to NPAs increasing [indiscernible] although the levels are the same as they were on the third quarter as well. In NPLs then, we've been shoring up our performance with a better capital ratio, a very comfortable capital ratio. And on the Basel III fully loaded capital ratio of 9.8% and 11.6% under Basel 2.5. And here, we're talking about fully loaded not -- and in our financial structure, we've continuously been shoring up our liquidity situation. At the end of the year, we have reduced our liquidity gap by over EUR 33 billion. But anyway, this isn't something that we worry about. Of course, it exercises us but it doesn't worry us in the group. So I repeat, we're continually improving and shoring up our financial structure, and this has been very clear throughout the year. Before I move on to the main items in the income statement, I wanted to stop and look at the external and internal factors that we have been seeing and analyzing over the quarter. Starting with the external factors, we have to remember the things that have happened outside the BBVA. In the U.S., in Spain, we've seen a management which was based on very low interest rates. And our outlook is that during 2014, interest rates will continue to stay at more or less the same level that we've had in 2013. The second thing that impacted us was the deleveraging that we saw in some economies like the United States. It was growing at similar levels to Mexico, in fact. But in Spain, the deleveraging has been higher than what we were expecting at the beginning of the year. One factor that's especially important for the net interest income in Spain and for the group as a whole, has been the ruling regarding the mortgage floors, the floors that exist in the mortgages, that's EUR 425 million impact on our net interest income. And towards the end of the year, we recorded an extraordinary contribution from January, this year 2014, to the Deposit Guarantee Fund. So that was a one-off in expenses for December, EUR 120 million. And then once again, this was Spain. Looking at the emerging economies, the main volatility has been seen in the inflation that's predominated throughout the year with over 55% inflation in Venezuela, which obviously has an impact on the accounts in all the different lines quite apart from what happened at the beginning of 2013. And then another external factor, again related to Spain, was the new regulations regarding the reclassification of refinanced assets, which has an impact on the quarter, the third quarter. And as we told you at the last results presentation, the impact was EUR 600 million on our income statement. Again, that's for Spain. And then internally, the main feature that I should mention, would be the strategic highlight we placed on our core businesses in the group. Thus, we've just closed all the divestments, selling off the Pension business in LatAm, we got out of Panama, and I repeat, with that, we can improve our ability to focus on our core business in the region. The revenues coming from equity accounting in China ceased to be booked in that way, and so that had an impact in the third quarter. It meant that above the line, we no longer have any kind of volatility related to the Chinese economy or to Asia. In dividends, once again, along with the results of the third quarter, we announced our policy for the medium and long term with respect to the BBVA payout policy. And we've supplemented that at the year-end by asking the general meeting to give us flexibility, just flexibility. Our intention is not necessary to use it, approving of payment of the dividend option for 4 possible dividends, but our intention is to apply the policy that we announced in the third quarter of 2013. All we want is greater flexibility just in case because of the recommendations and the regulatory trends that we are seeing, we want to, at least, have that flexibility to have 4 scrip dividends as well. And again, we have to manage our Tier 1, Tier 2, and so in 2013, we issued additional Tier 1 under Basel III requirements in order to fill in this buffer that we have with a comfortable amount of Tier 1 that we want to have and -- have to have by 2016. The net interest income plus fee income reached EUR 19 billion. It's true, they fell 2.2%, but it's also true that they were impacted by what happened to the exchange rates. Thus, if we take out the exchange rate impact and put them at constant euros, in fact, the net interest income, plus fee income, which is most recurrent line in the income statement, would have grown 3.5%. This is important but more important still, is the tendency that we've seen over the last quarter, the fourth quarter. So a growth against the previous quarter at 7.9% in constant terms, 5% in terms of current exchange rates. In the gross income, we can see the same tendency, although it's true that in the gross income, we are already absorbing various other items, which give us nearly EUR 1 billion. I talked about the impact of the floor closes and the interest rates, which had a big impact on the end of the year, EUR 425 million, EUR 7 million less. And then the extraordinary contribution to the Deposit Guarantee Fund meant that we were hit there, too. Again, the hyperinflation in Venezuela also affected, above all, the end of the year. And at the end, with that and other impacts, there was a hit of EUR 500 million. Nonetheless, although the gross income went down 2.3% to[indiscernible] 2.6% in constant euros, reaching EUR 21.39 billion. We're lucky with the 60-40 split that we have between the business that we have in the developed and the emerging economies. The emerging economies are growing very buoyantly at over 16.1%, and minus 7% growth in the developed countries. And we're carefully managing costs, which have gone up 3.8%, of which 5.3% came from the emerging economies. We are doing a lot of investment in the developing, well, emerging economies to ensure future business. If we look at the changes year-on-year in our costs, 20% are because of the increase of depreciation related to technology with all the investment we've made over the last few years in technology, above all, the different platforms that we've been rolling out in Spain and the United States. Remodeling and strengthening our platforms in Mexico. The exchange rate had a positive impact there, 8% increase was changed to 8.4%. And in the developed economies, the perimeter impact of Unnim was quite important, that was 2.6 percentage points. So in Spain, what we can say -- or in the developed economies, we can say that costs are flat, and the tendency of the final quarter, which tends to always be one of the highest, is that we are still below the levels that we had in previous years. Consequently, that's cost management which is split between the emerging economies and the developed economies. We, thus, have an operating profit which has gone down 8.2% in current, but only 3% in constant exchange rates. And what's important here is the over EUR 10 million that we have which is a buffer if we have to do any additional write-downs in any adverse or complex scenarios similar to what we have now. And the second main comment is how we compare against our peer group. As you can see, our net interest income over ATAs has doubled the level of our peer group at 1.7% compared to 0.8%, which means we're highly profitable. And that operating profit means that we can deal with any kind of provisioning exercises that we might have to do in any kind of scenario. Earlier on, when I was talking about the highlights, I said that the risk indicators for the last quarter have remained stable as we see greater normalization coming in and we've seen a slight drop in the balance of NPAs. It's true that we reclassified the refinanced loans in the third quarter. So the fourth quarter already shows the more long-term stability that we can expect to continue over the next few quarters. NPA ratio then is stabilized and coverage, as well, pretty stable. And something that is behind this performance is the net additions to NPAs. I'm referring here to the additions without factoring in the reclassification of refinanced loans, so that we can have a like-for-like comparison. Net additions in the last quarter, comparing against the previous quarter and for the previous quarters are between -- was between 30% and 50% lower, depending on whether it's quarter-over-quarter or year-on-year. We're looking at it every single month, and we see it very clearly when we look at the net additions in the retail banking, where we're talking about individuals. And the gradual downward trend is being confirmed month after month. Capital. I was saying already that we've shored up our capital ratios over the year. At the end of the year, we were at 11.6%, although we started the year at 10.77%, with the prevailing regulations at the end of 2013. And if we look at it in terms of the new requirements, not facing but fully loaded, that 9.8% ratio is what we've got, under leverage ratio under Basel III fully loaded is 5.6%. Once again, we're in a very comfortable position here. Liquidity. Before, I was talking about the balance sheet of the group as a whole, but we've been focusing, above all, on the euro over the last few years. But once again, we've seen continuous improvement over the different months. We've seen an additional reduction of over EUR 33 billion in our liquidity gap. The big -- mix has improved, the quality is better. Customer deposits are coming in, and we're gaining market share by about 100 basis points, which has made it possible to continue to reduce the capital that we have to raise on the markets and above all, with the European Central Bank, where we cut back our LTROs by EUR 20 billion. Earlier on, I was talking about the Tier 1 issue -- additional Tier 1 issue that we made, it's gone down very well in the markets. We also took advantage of windows that came up during the year. In January last year, we made an issue of mortgage warrants and -- or covered bonds, and we've issued some senior bonds as well. We brought down the costs really significantly and improved the terms and tenors as well. So we've got an ongoing improvement of the structure of our balance sheet. So this is the income statement. EUR 2.228 billion in net attributable profit. So with constant exchange rates to get out the volatility of the exchange rate performance, we have the news that in 1 line, we can now put all the factors that could undermine the better understanding of the underlying performance. So that's why we've put the income from corporate operations, which include sale of subsidiaries which has an impact on this year and last year; also, the effect of the China transaction which is more an accounting restatement; the sale of the insurance business in Spain at the beginning of the year; and finally, we've also got all the revenues from equity accounting from last year and this year, so that in -- we don't have 12 months in 1 year, and then 9 in another. So all the impacts of one-offs that we've done during the year, some of them starting in the previous year, are included in that 1 line. So that from there up, from pretax income, you can see like-for-like figures. So to sum up, the final message regarding our results is that we have recurrent sound revenues, over EUR 21 billion. The outcome of this diversification between the emerging economies and the developed economies, profit over EUR 2.2 billion, and the net operating income is very strong, giving us a good buffer. And in our capital, we've seen that we're in a very comfortable situation, reaching nearly 10% fully loaded capital ratio under Basel III fully loaded. Our liquidity is permanently improving. And in risks, we can see the stability of the risk indicators, which has been confirmed in the fourth quarter. Moving on to the different business areas, and starting with the developed economies. Here in Spain, as I said when I started, we've seen an accumulation of very difficult or negative news here, which was the greater deleveraging than we had forecast. And as we can see here, there's a 9% fall in lending, but it's also true that this is far below the fall we've seen in the rest of the system, which has fallen by almost 13% the system as a whole. If we look at deposits, we can see we're talking about an increase in 13%, and again, the system has grown between 8% and 9%. And these are the reasons why we've gained market share in both deposits and on the lending side and at the same time, we're continuing to strengthen our financial structure. If we look at the net interest income, or the operating income, they're falling around 19%, and these are significantly affected, first of all, by the deleveraging that we're just seeing, but secondly, by the effect of the floor close of the mortgages. One thing I said about the group, and this is also true of Spain, the most positive piece of news is the recent trend in the net interest marked income, which is growing by 7.4% quarter-on-quarter. And this trend, I think, is due to the, not just of the deleveraging, but also their continual improvement in the price of retail deposits, which means that we have won 16 basis points in our customer spreads in the last quarter. I repeat, the operating income, once we take out the costs, and these are flat, with the exception of the expenses from Unnim during 2013. Risk indicators now, this is the other positive news for this quarter, we see stability in the NPAs. The NPA ratio has declined a couple of tenths of a point. But this is due to the deleveraging that we've seen during the year. But I would repeat, the general trends of the entries in net additions is better this quarter, which confirms the fall in both last quarter and the last 4 quarters. They've seen a significant fall, and this is the income statement of nearly EUR 600 million, with an operating income of over EUR 3 billion, which is the highest operating income in the business here in Spain and the most profitable bank in Spain if we bear in mind the smaller number of branches we have in Spain. And looking forward, clearly, things are improving for 2014, where the business in Spain will be one of the main drivers to the improvement of our earnings for 2014. If we look at real estate now, here in Spain, once again, the objective as you can imagine, is to continue to reduce our exposure as fast as possible to the real estate world, and there are 2 kinds of actions we're taking here. The main one is to increase, as much as possible, our sales volumes. And here, we've sold over 21,000 units, which in the end, will have an effect, it reduces our exposure to real estate, either assets on the balance sheet or selling assets on the balance sheets of our developer customer. So altogether, we have reduced another EUR 1 billion of our exposure to this sector, the real estate sector. And in particular, our lending exposure, not just because of the reduction in lending to them, but also because of the sales of the assets that we've made during the year. So as we can see, the sales has increased, in comparison with last year, by more than 40%, and we want to continue along this trail and even increase the speed of our disinvestment. There's nothing special as far as the data go, this is practically the same as what we saw in September. We can see the stability of the numbers here, because moreover, in September, we also reclassified part of the refinancing of the real estate. The income statement, which ended up with EUR 1.254 billion, most of which, once again, comes from the appraisals that we do throughout the year, far more than the results from sales. Because in sales, what we get is about EUR 50 million, which comes from selling the different real estate units at the net book value. The U.S. now. The main features, once again, I've been over this before. And as I was saying, that in the U.S., they're growing even faster than we're seeing in Mexico, we're seeing 12.8% in lending, with a certain acceleration or picking up at the end of the year. And maybe, if we look at the net interest income for this, the fall here. And this is because of the tension in the customer spreads, and this is very easy to explain, because at the -- when the stock matures at the new prices, then the new balances come in, with the low interest rates that the currency is seeing. So in 2013, in general, we're seeing a fall, a 6% fall. Then maybe the most important thing is we're starting to think that the customer spread is now reached the bottom. So in 2014, we should be able to see that most of the growth in business should come through to -- roll over to the net interest income. Once we've absorbed the costs, which is one of our strength in the United States because we are offsetting the greater cost of technology there, because of rolling out the platform at the first part of the year, plus the increase in the moratorium which is a general trend that we're seeing, so throughout[indiscernible] other business in the United States, and because of the regulatory changes. So we can see that the operating income has fallen by 12%. The risk indicators show excellent asset quality on the balance sheet in the United States with an NPA ratio of 1.2%. Net addition, has been negative in 3 [indiscernible] in the minimal levels, the lowest we've seen in recent years, which shows us an income statement, once again, with EUR 390 million attributable profit. And maybe the most important thing is, is looking forward to 2014, we can see how the dynamic business activity is continuing and also the customer spread, as I said, has been stabilized. And the third positive point is that we're well-positioned for an increase in interest rates, which we do not think that will happen in 2014. So we'll be far more dependent on business activities, cost management and I would repeat what I said before, this is totally under control, and the risk premium is the lowest levels that we've seen in recent years. Moving on to the emerging markets, the first region is the rest of Europe, i.e. Turkey and Asia. Turkey is the main driver of growth going forward and this is where we're seeing the greatest volatility, especially in the second part of 2013 when they started to increase with their funding costs. The first half of the year which -- showed strong growth, and then the second part is tamed off because of the increase in the cost of funding. And after this increase in interest rates that's just started -- that we've just seen now once again in 2014, is going to be a challenging year for Turkey. The advantage is that we have the -- clearly, the best bank in the country and internationally. It's recognized throughout the world because of this excellent management of its business. The income statement from the income gives us over EUR 450 million, which is over 20% growth, most of which comes from Turkey once we've taken out the equity accounting of the income statement, especially at the top of the income statement, the top line. Mexico now. Double-digit growth here. There's been a takeoff in the growth on business volumes towards the end of the year basically, especially associated with SMEs, corporates and the local business. And this has translated into growth in the main margins of between 7% and 8%, right the way down to profits. So the financial structure is very sound. And the risk indicators, we've seen improved and additional movement in the fourth quarter, where we've seen a fall in NPAs and we've seen that the coverage ratios have been maintained. And improvements in the NPA ratio is the same as the risk premium. The risk premium in 2014 should remain in between 3 3, 3 4, 3 5 because of the lending composition of the Mexican balance sheet. So it ends the year in Mexico, with a contribution of over EUR 1.8 billion. And clearly, we can see that the contribution from the different lines is between 7% and 8%, including the attributable profit. Two important things here: One is the defense of their leadership in -- by Bancomer in Mexico, which means that we are continuing to be the leader there. And the second point is how our franchise in Mexico, at the same time, is addressing the strengthening of their distribution model. And they're remodeling practically 100% of all their branches between 2013, '14 and '15. They're changing their business model and aiming at -- more focused on the different segments. And this is going to be the main driver which will maintain our leadership in the market in the coming years. And South America is very similar to what we've seen in previous ones, previous quarters, with growth in business above the 20%, both on the lending and the deposits side, which trickles down to the different margins, reaching an operating income at the end of 2013 of over EUR 3.2 billion. The risk indicators are very stable once again throughout the year, between 2.1% and 2.2%. And the risk premium, because of this gradual change that we're making in the lending mix in the different countries, we're taking on board more consumer credits, which means that we have a risk premium of 1.8%, which, as you can see, is a very positive news. The income statement contributes around EUR 1.25 billion, which is 23% growth. And maybe the important point here -- or the most important things are the gain in our market share. In most of these countries, we've defended ourselves against the volatility of currencies in countries like Venezuela and Argentina from those countries. And we've also made significant diversification apart from what we have in the group but within this region. And this enables us to see these recurring revenues at the end of the day. So in summary, we've gone over practically everything in Spain. The most important thing is the market gain in market share, and the trend quarter-on-quarter on the net interest income and fee income, and the stability of the risk indicators in the broader sense of the word. In the United States, we see dynamic growth in business volume despite the low interest rates that we're seeing there. The most positive additional points would be the management of the risk indicators and containing the costs. Eurasia, the spotlight is in Turkey, where we're going to see the greatest growth in the future in this region, and also the restructuring of our Chinese investment. Mexico, leadership change of our distributor model. And we continue to maintain the dynamic growth that we're seeing, and this can even improve in 2014 when the economy starts to grow more comfortably over 3%. South America, once again, we are going to maintain the return on our investment that we've been seeing because of our diversification in the market there and to continue to harness the results of the investment plans that we launched last year so that we can generate greater organic growth moving forward in this region. And that's it. So from now, what we can do is to move on to any questions you may have for us.
Tomas Blasco Sánchez: [Spanish] Thank you, Ángel. As we had done in previous presentations, what I'll try to do is to put the questions together by different issues that you -- so that we can answer as many questions as possible. So the first block of questions would be about the depreciation of currencies and the coverage policy. Antonio Ramirez from KBW and Raoul Leonard from Deutsche Bank, Paco Riquel from N+1, Rohith Chandra from Barclays and Britta Schmidt from Autonomous all asked about our coverage policy for the currencies that we have. What is our position in Venezuela and Argentina for hedging and Turkey? And what potential impacts do we expect for 2014?
Ángel Cano Fernández: [Spanish] Okay, we can start with that. Excuse me. Maybe the first thing I should highlight are the key characteristics that we see in the management in pretty general terms, the way we manage these rates in the group. The advantage we have is that our subsidiary management is set up in order to avoid any kind of contagion between different geographical areas or subsidiaries and the holding companies. So in Argentina and Venezuela, the way that we manage the exchange rate is the same as we do elsewhere. We review it always in all the ALCO meetings every month. The other thing I need to say is at the end of 2013, the numbers that we've seen in the income statement and in the capital ratios include the impact of the depreciation and devaluation of currency in the regions that Tomas was mentioning, Venezuela, Argentina, Turkey, and the general downward shift of the European -- of the dollar against the euro. And there's been an impact of 3 basis points on capital during the whole year, and we're also seeing it in the results at the end of the year. It's true that the impact that we've had at the end is about EUR 169 million, which is the impact of the exchange rate, taking into account the hedging done throughout the year. The other factor that we always have to focus on is the general policies we have. We -- when we're doing hedging -- Manuel will probably add to what I say. We've hedged 50% of the earnings or the equity that we have in each of the regions. So what we do is have a very proactive policy with an in-depth understanding of the trends over time so that we can fine-tune these percentages. And then finally, I have to mention how we manage hedging at a global level or consolidated level. That means that the final impact is really very limited when we look at what we published in the final financial statements. I just wanted to remind you that the hedging, especially in earnings, is dealt within the accounts in such a way that we stop the volatility of the hedging with the different time lags that you get. We have been trying to bring it forward 1 year ahead of what we are actually hedging when we book it.
Manuel González Cid: So Ángel talked that we are very proactive in hedging the exchange rates, and our track record is excellent. You just have to look at the growth that we are seeing in the book value of our share over many years of depreciations and volatile exchange rates. And our strategy means minimizing the cost of hedging, accepting it as part of our income statement. We are hedging equity because we have to conserve the shareholders' equity. And we maximize the hedging in order to ensure that we get all the local growth reflected in mostly local accounts but also in the euro accounts, which is the accounts that we pay dividends against. Looking forward to 2014, our strategy for hedging is now located in equity at about 50%. So we've hedged 50% of our exposure to non-utilized capital by the APR to capital ratio at the moment in general, in all the exposure that the bank has to foreign currency. And then in terms of earnings, we've got hedging established, contracts for 2014 already established in different geographical areas. So to supplement this view, I can tell you that in Mexico, at the moment, our hedging is close to 30%, already signed off, and we will increase this progressively. But being prudent, we recognize that the outlook at the moment, the growth dynamics in the United States, the structural reforms in Mexico, all lead us to think that someway or other, the macro outlook are positive and suitable, and this will be reflected in the evolution of the exchange rates very soon. In the rest of South America, we, at the moment, have hedging so that we think that any depreciation will have an immaterial impact on the corporate accounts apart from Venezuela or in Argentina, where, as you know, on the international markets, it's really not possible to get any hedging contracts. And our hedging positions are long in the local balance sheet. And that gives us some neutralization for any impacts that we could have. And if you look at the net trading income item, you can see what I'm talking about for these local currencies in terms of the equity in those countries because of the heavyweight-ing in the risk-weighted assets. Basically, the impact on capital is already neutralized before it is put onto the euro account. And then in Turkey, we've got high hedging of the equity of our capital. We don't have hedging of earnings, but you can think about the contribution of Turkey last year. It was about EUR 300 million, EUR 296 million to give you the exact figure. And really, a depreciation of 20% would have an impact which would be below EUR 60 million. Really, the impact is not relevant on the total bank earnings because of the situation we have with respect to the cost of hedging of interest rates in Turkey. So our hedging position is very positive. We've got a proactive management of the hedging. We understand what's going on in the domestic balance sheets, and we realize what their impact is on the corporate balance sheet as well.
Tomas Blasco Sánchez: Moving on to strategy. Three questions from Antonio Ramirez from KBW and Paco Riquel from N+1. The first question is, can we update the macro view of Turkey that we have and the possible strategic options that we have for our stake in guarantee? Is it likely we might bring forward the realization of the control option that we have? And then the second question, regarding guarantee, do we think that some impairments should be recorded against our stake in guarantee at the end of 2014? And then the third question is, after the auction process of Corpbanca, what other strategic ambitions could the group have in Latin America or elsewhere?
Ángel Cano Fernández: [Spanish] Let's start in Turkey. What I would say is that even despite the volatility and the political uncertainty that we're seeing at the moment and the effects that have been generated by the markets, the tapering in the United States, I think the prospects for the country have continued to be sound. There's one outstanding issue. They have the capacity, the management capacity, they're deficit in the current account, and these are the measures that are part -- or this is the reason why they've taken these measures during 2013 in order to prevent -- to promote saving and consumption and reduce their dependency on the outside. I think their growth by the end of the year, we're going to see about a 4% growth, and then in 2014, where there's greater uncertainty because of the increase in interest rates, amongst other things that we've just seen this week of almost 4 percentage points, increase in the intervention rates. So what we're seeing is growth of under 3% in 2014, according to our research department[ph]. In the end, this will depend on how the business does in Turkey. With regard to political uncertainty, I think there are 2 important events in order to understand what's happening in Turkey. One is the municipal elections, which are going to take place in March. And what we're going to see there is how -- or the backing that the government's party has in the main cities of the country. And the second important event are the presidential elections to take place just before the summer. And once again, it's another important date. Underlying each of these days, what we're looking for is what the effects of this has on the political and economic life of the country. So from there, we'll see how stability will move in Turkey. And I would repeat that we need to bear in mind that the fundamentals, from our point of view, continue to be very sound. The comment you made about our strategy and guarantee in Turkey in general, we've been in Turkey now 2.5, almost 3 years now, should be 3 years in March, working shoulder to shoulder with our partners, with 16,000 guarantee employees in Turkey. And the conclusions that we've drawn to date, which confirms our expectations before getting into Turkey that they've got a magnificent management team. The senior management is excellent from the point of view of fundamentals, transformation and how the world is changing. In our opinion, it's the best bank. So things have not changed. On the contrary, they have improved. The capacity of integration with the rest of the group has been excellent. It's been incredible, without a shadow of a doubt. It's true that at the moment, with the share prices in the market, then permanently, we're going to keep a very close eye on our strategy in Turkey in order to continue with the investment or not. It's true that we do have quite a long term for executing the options that we have with our partners. So in coming months, quarters or even the next year, we will see how the country goes, how the stability goes in the country. And then after the elections that I mentioned, we'll have a better idea of this. After the elections in March and in the early summer. With regard to the solvency of Turkey, there might be a slowdown in the lending side or business in 2014 as a consequence of the increase in rates that I mentioned. But the fundamentals, I don't think we're going to see any substantial change in the intrinsic value of guarantee. Moving on to Latin America now and the possible purchase or the agreement with Corpbanca. This is an agreement, as we always do, we'd looked at 2 kinds of issues: On the one hand, there's the price, of course, because, obviously, we're looking for the greatest possible generation of value for shareholders, i.e. for the bank. And secondly -- especially if we bear in mind that we had to have ample experience in managing the minority shareholders. We had to have to look at the governance after this operation, and maybe especially -- and the second point is where -- this is the important thing and the reason why we didn't reach a positive agreement for the group, but we think it is important, I'll repeat, to look at going forward to be able to manage our business in any country we have a presence in. So maybe, the most important points here are the countries like Colombia, which was one of the possibilities for increasing our market share. Our objective, as you can imagine, is to grow our market share very quickly because the rivals that we have are trying to merge in the next few years, especially if we look at the track record of generating market share and the generation of earnings in Colombia. I think we've got an enormous opportunity for -- to continue growing organically. Don't forget the growth plan that we've launched for the whole region to opening new branches, to invest in technology and digital transformation. In September, we launched our plan, whereby the objective is to become the best digital bank in the region in the next 2 to 3 years. And also, it's a win to gain market share in customers. And in Colombia, this is going to be easier because of what I've just said. And in Chile, it's not going to be quite as easy as in Colombia, but we have the same objective as in Peru and Colombia, where we have our main investment plans. We also have investment plans and organic growth plans. And we will keep our eyes open for any opportunity that presents itself at any time, but what we will do is to analyze strictly from a point of view of generating value and also to manage the governance in any possible agreements that we may sign.
Tomas Blasco Sánchez: Okay. That was -- in the capital now, we have from Antonio Ramirez from KBW asked for greater color about the adjustments that we've made on the 31st of December concerning our core capital fully loaded, Basel III fully loaded, because we have reported 9.8%, which is the way to reach the 9.8% that we got. Another from Raoul Leonard from Deutsche Bank, also concerning the core capital ratio under Basel III, what would our midterm target be that we would like to maintain for Basel III fully loaded? And he says that our most important rivals are reporting capital ratios, under Basel III fully loaded, of 10%, 11%, 12%. Is that a target for us? So we'll have to -- will we have to engage in operations to stay in this leading group, with 10% to 12% capital ratio? And the third question concerns the deferred tax assets. And in the next few weeks, I'm sure that we will get the legal approval of the legislation about deferred tax assets. Could this, in any way, modify the capital ratio that we gave on the 31st of the 12/2013? And the fourth question related to expectations for issuing AT1 throughout 2014. What are our thoughts on this with regard to issuing additional Tier 1 capital? And finally, Frederic Teschner from Natixis, Rohith Chandra from Barclays, and Stefan Nedialkov from Citi, concerning dividends, all -- they've all asked for more information concerning our strategy for dividend payments in 2014 and whether the proposal that you said -- or asking the AGM for 100% scrip dividends for all of them for 2014. Is this is merely a proposal to give you greater margin for error in case you do have any problems in the business? So those are the capital questions.
Ángel Cano Fernández: [Spanish] Okay then. Manolo, how do we share this out? Should we start? You said -- yes. Basically, Antonio Ramirez, I think, asked the question. What the ratio is showing is Basel III fully loaded to December 2013, where basically in the quarter, we saw 2 important issues: First of all, the approval of the Spanish regulations on deferred tax assets, which will have an effect of about -- between 60, 70 basis points. And then also, the effect of the divestment of CITIC and the change in the way that we account our CITIC stake on our books, which will also have an impact, which will be very positive for our Basel III fully loaded ratios. So those are the main 2 factors affecting it, as well as the organic generation of earnings in the quarter when we are evaluating the Basel III fully loaded ratio for December that we published. And we have to look at the fundamental reasons behind the high leverage ratio that we're presenting, which is probably the best ratio in Basel III fully loaded of all European banks. The leverage ratio is 5.6%. And those 2 factors, CITIC and DTAs, impact that, too, as well as what's been happening in the balance sheet over the last quarter. So that's what's behind the shoring up of our capital ratios under Basel III. Okay then, and the target. Having a target, I'd say, is that we want to be over 9%, 9.5% maybe, 10% maybe. But before saying whether others are at 10%, 11%, 12% or whatever, it's important to look at how progressively, with the arrival of the new single supervision, the management of information and the transparency of information will be more uniform with respect to how we report our risk-weighted assets. So before saying that some have 11% or 10% or 12%, we should, first of all, be sure that we are all talking about the same kind of risk-weighted assets which, again, to be accounted for in the same way, taking into account that we're amongst the European banks with the highest ratio here. At 9.8%, we feel very comfortable. And as we look forward to what might happen with the ratio, we think that we're already at very good levels. We feel very comfortable. And we are expecting that progressively, there will be standardization of the reporting so that we will all be playing on a level playing field or at least the biggest 30 banks in Europe. As Manolo said, the regulations on deferred tax assets have already been enacted, has positive impacts which have been reflected in the figures we reported. And as for dividends, well, it's simple. Last year, the recommendation came out in the middle of the year when we already had the general meeting and other entities had already passed resolutions in the general market. So they had no problems in that sense. And so on this occasion, we decided that we don't want to have any surprises if, once again, the regulator might want to make a recommendation of that kind. So the idea of proposing an increase in the number of scrip dividends from 2 to 4 is simply so that we'll have more flexibility. Our payout policy is to continue as we have done before. And in 2014, our policy is going to probably be to 2 dividends in cash and 2 in scrip, just as we did last year.
Manuel González Cid: An additional comment regarding the target because it's interesting, I think. You should think that we are giving the Basel III fully loaded ratio to December 2013. It's reasonable to think that we'll have a certain capacity to generate capital under Basel III from now on. And so it's reasonable to think that our phase-in ratios are going to be quite much higher than those ratios, and we'll be generating capital every single year. And Ángel was very right when he'd talked about risk-weighted assets in their reporting. Clearly, measures have to be taken to make them comparable so that they can be looked at like-for-like amongst the different European banks. And at the moment, there's a whole lot of regulations that are coming out, which will mean that the individual capital to risk-weighted assets ratio will always be taken into account along with other factors, such as a leverage ratio and the deposit to lending ratios, and also other matters that are yet to be really relevant when we're talking about paying bonuses, paying dividends and dealing with the hybrid instruments that we have. So you shouldn't just look at the cold ratio of risk-weighted assets to equity but also look at the others. The capacity to generate earnings, however, is most important in order to have gross income. The EUR 10.9 billion are really important for us. And talking about the additional Tier 1 issuance, the COO, in the presentation, referred to the issue that we made in 2013. And the IFC considered it to be the best capital market issue in the European markets in 2013. It makes sense to progressively fill up the bucket covered by the regulations of 1.5% of the RWAs with additional Tier 1 instruments. We are in no hurry. But bit by bit, very gradually, we will fill up the bucket because we think it only makes sense in order to free up core capital for the requirements that will come in when we have the combined buffer. And so we probably will do something with more additional Tier 1 issues, but we are not in a hurry.
Unknown Executive: Now let's move on to the block with respect to the different business units, starting with Spain. Mario Ropero from Fidentiis, Antonio Ramirez from KBW, Rohith Chandra from Barclays, Paco Riquel from N+1, Britta Schmidt from Autonomous, Stefan Nedialkov from Citi, and Raoul Leonard from Deutsche Bank asked the following questions. More or less, they asked the same. So I'll group them together. The first question has to do with Spain, what is the outlook for growth in lending for 2014 in the BBVA? Secondly, more or less, what's the cost of the term deposit stock that we have? And do we have plans for cost saving in Spain over and above the integration of Unnim? Fourth question, with respect to the expectations regarding spreads on credit to business in 2014. The fifth question is what are we expecting to see in 2014 in the net trading income and net interest income? And then, we've got another question, yes, what's the impact in the fourth quarter of the elimination of the floor clauses for mortgages in the fourth quarter, that is. What was the impact of getting rid of the mortgage forecloses? And then with respect to impairment and provisions in Spain. A single question regarding the peaking of the NPA ratio in Spain. When do we expect to see that? And what do we think will happen with gross additions to NPA in the quarter? As you saw, that was negative but what kind of performance are we expecting in 2014? There are a lot of questions, but I think that they pretty well cover everything that's been asked about our business here in Spain.
Unknown Executive: Okay. Let's have a look at it. First of all, lending. In 2014, we're going to have to separate or differentiate between business and individuals. For individuals, I don't think we're going to see any growth year-on-year in the balances, basically, because the natural maturity date, for instance, of mortgages. Obviously, these are greater -- the stock I'm talking about, they are clearly greater than the new flow of loans. So I think this is where we're going to see the greatest uncertainty with regards to the information in 2014. Then I think what we're looking at full, in a balance of between 4% and 6% per individual, that's what we're going to see in 2014. On the business side on the other hand, we do have possible -- positive data for the final quarter, and we're talking about loans to companies. Forgetting about real estate developers, we've seen positive growth in this and what we're seeing for the fourth[ph] -- for 2014 as a whole, and especially in the second half of the year, more than in the first half, especially if we're comparing with higher balances in the first part of 2013 and in the second part. So what we're looking at here is a year-on-year, December-to-December, with positive growth in lending. I'm not sure whether it's going to be 2%, 3% or 4%, but there's going to be positive growth in lending to companies. So if lending is positive in 2014, then we're talking about lending falling between 1% or 2% for Spain as a whole. So we'll see a bit more deleveraging but far less than we've seen in 2013, and I think we're going to start to see a growth in -- when those -- starting growth in balances in 2015. The integration of Unnim and costs -- in the case of Unnim, the costs were around EUR 290 million, and the cruise speed in December and for 2014, we're talking about EUR 110 million. So managing the synergies, which will have their full impact -- or we'll see the full impact this year in 2014, I think, the work has been done for that, and there might be some additional branch that will have to close. But we're talking about just the final points in our plan. And as far as people go, whether they are Unnim or BBVA, because in Catalonia, we did not just reduce Unnim staff, we combined this to get the best possible mix with -- from an age point of view, because the average age of the employees of Unnim was one of the advantages of the franchise. Going forward now for 2014, with the impact of the synergies with Unnim, we see the full impact of this as I said. So what we're suggesting here and we're still analyzing the final points, but what we're seeing here in Spain is a tendency of a falling costs of around 5% just with the work that's already done and with the analysis that's already being done. And what remains to be done is to continue our analysis of our distribution model to look at the branch network and the productivity and the profitability of each of the branches, because we're talking about a brand -- a network branch, and they have a market share of about 9%, which is 3% or almost 4% below our natural market share. But on the other side, with everything that's been invested in technology, not just in the back end, but also the front end, all the digital transformation that we're going to see being rolled out now, and the different kinds of customers that we're focusing on now, we're going to continue to work on this model, and this will have an additional impact on costs. It will have a negative impact on costs during 2014, and even more so in 2015. So the analysis that we're making will be a permanent cost analysis month-after-month for their group as a whole, but in particular, in Spain and in the central offices. Company customer spreads now, we're not -- we really can't see any kind of change in these spreads over the last few months. And in 2014, I think that the spreads will remain stable, the negative impacts after applying the prudent principle to exposures to the public institutions, whereby, we set a ceiling to our spreads. So with this, I mean, we have the companies and the public institutions have very similar spreads. And the average here is going to be between 3.5 and 4 percentage points for 2014. Deposits, we can -- we hope to gain market share over the next 2 years, including Unnim. We're talking about an increase of around 200 basis points in our market share in 2013. Without the Unnim, we're talking about an increase of 100 basis points. And in deposits, we're just going to have a double driver because -- by gaining market share, but also by consolidating our falling costs, which has enabled us to see the improvements in customer spreads in the last quarter. This will have its full impact -- this fall in prices -- we'll see this full impact in 2014. So the improvement spreads, especially from the deposits, will enable us to offset the lesser growth in lending, which will give us net total revenues that should be flat if we compare 2014 with 2013, and it should start growing in 2015. If we compare the first half of 2013, including the floor effect of mortgages, I'm talking about this, the effect -- the impact of this is between EUR 55 million and EUR 60 million a month since the 9th of May when the effect of the disappearance of this floor clause came in. So for the 3 months, this is the impact that we've seen in the final quarter. So looking forward to 2014, the first half of the year, I think it's going to be more difficult to compare with the first half that included the floor clauses, and as of the second half of the year, we will really see this difference, which, I repeat, an improve -- success of improvals in this customer spreads will enable us to offset a positive -- a negative fall in lending. So we're talking about flat growth throughout 2014 in general. And gross additions to NPAs, as I said, in the presentation, we are keeping a close eye in the net entries, the gross entries, divided in -- differentiated between the retail and the individuals, which gives us an idea of what's going on with this net additions. And so it's also -- that's why I said that it depends on whether we compare with the entire last year or the different quarters, the gross additions of the last quarter between 30% and 50%, depending on where you look at, but this all will be confirmed -- but there has been a fall in the gross entries from the -- if we look at it from the business point of view, there might be some additional aims that came into the NP ratios in the NPAs for 2014. But I think, the trend is confirmed and is remaining stable, the same as we've seen in the last few months. With the cost of the stock now, just to give -- show you what haves[indiscernible] the average rate of customer funds in 2012 was 1.72; in 2013, it was 1.57; and in the fourth quarter, it was 1.43. And the term for term, plus IOUs in December, was an average rate of 1.3. And this means that as we move through 2014, there is a greater chance of reducing the cost on the liabilities in Spain, if we take the dynamics over the last few months continue. With regard to real estate now, we have 3 questions. I'll go to Serrano of Morgan Stanley; and Rafael Bleeter [ph] of Mediobanca and Ignacio Cerezo from Crédit Suisse. The first question is, do we contemplate the sale of our subsidiaries in Mobiliario in Spain? Second question, what is the average discount that we made on the sales throughout 2013? And what will be our best estimate of the additional losses that the real estate portfolio can still absorb in Spain?
Unknown Executive: Real estate servicing is an activity that, as you can imagine, we've analyzed. As always, it depends on the transactions, the future flows. You have to look at the costs if we have to pay for the servicing in the future, the opportunity costs. So we have to look at all of these different factors in order to analyze real value. So it's not that we're not going to do or that we are going to do anything, but it's a matter of focusing on value, real value. Rather than just capital gains discounts in the presentation, I said that they -- we were selling more or less book value, and the EUR 59 million losses that you saw above all in Brazil that sell a very specific package. And at the end of the year, very clearly, we have evaluated our assets with updated appraisal values. And the additional losses are going to be basically those coming from the possible downward trend that we can still expect to see in the price of property, although, actually, we have seen that the falling prices are falling evermore slowly. I said earlier on the -- that one of the main contributors to the improvement of earnings in 2014 will be the banking business in Spain, but also, we're going to get improvements coming in precisely from the real estate business. But we have yet to find out what the final loss will be above all, looking at the downward trend in prices. We think in our research department that it could be between 2%, 4% more price fall in 2014. But over the last few months -- well, quarters even, we have been seeing an increased appetite among investors to buy property in Spain, and that means that sales have really been speeding up in the final quarter, but in the year as a whole; so higher appetite amongst investors, a slowdown in the fall of prices in some regions in Spain. We can say that, actually, prices aren't falling, quite the opposite. Some cities or regions are seeing prices go up now. And so that leads us to expect that in the 2014, in 2014, we'll see a more positive contribution coming from real estate. Moving on to Mexico then. I have a question which is repeated by Antonio Ramirez from KBW; Rohith Chandra from Barclays. And they can be summed up as followings. What are the main drivers in the growth of the loan book and the income in Mexico? And what is going to happen to costs in [indiscernible]?
Unknown Executive: The entire income statement, right. Well, as I was saying before, 2013 has been a difficult year and that the country has been in -- has gone through some profound reforms. There have been 7 of these reforms through the year. The last one was the energy reform. It's the most important, which just mean, public investment was grant to a halt in 2013. And that's why the balances for the investments, we'd say, has really slowed down. But the pipelines in the lending side have been filling up towards the end of the year. We've gone from 7%, 7.5% that we saw during the year to over 10% that we saw in the results. So for 2014, what we're seeing with the growth in the economy, not a 1.3%, which we think we'll end up growing, but 3 highs. Then as we see we can recover the banking activity in the public sector -- from the public sector, so I think what we're seeing is growth of between 10% and 12% on the loan book. The spreads, if we bear in mind the composition of the Mexican balance, our business over there, with spreads over 11%, with a lot of weight on consumer finance, then obviously, the spreads are not going to change radically in 2014, it's going to be around that level. So the growth in the business is what -- we'll have to see how these translate to the different margin costs, the objectives that we have there, the target that we have there in an investment process, whereby, we want to strengthen organic growth. And there have been some branches that we're opening, and we've remodeled our distribution model, as I mentioned before in the presentation, which means that our costs have gone up. But this has to be always below the growth in revenues, so that we are seeing net revenues for the group in Mexico. The risk premium in Mexico -- I also said this before, the risk premium with the business mix that we have on the balance sheet, should be around between 3.3% and 3.5% in 2014, and it should be fairly stable. Moving on to the United States, I have 3 questions. Mario Ropero from Fidentiis; Frederic Teschner from Natixis. The first question, what's our outlook for the net trading income in United States and what you're going to do in 2014? The same here with regard to attributable profit for 2014 in the American franchise. And the third question, what plans do we have for doubling our market share in the United States or increase our market share in the United States? So 3 questions. Outlook, for the net interest income in the United States, attributable profit, and plans for increasing our market share in the U.S.
Unknown Executive: Okay. We can talk on the basis of what we know at the moment. We always want to increase our size in United States, but we have to look at the opportunities, and work out how much value they generate and compare them against other opportunities. And we talked about CorpBanca, for example. At the end of the presentation, I said our balance sheet in the U.S.A. is ready for being very sensitive to hikes in the interest rates. We're not expecting these to rise, however, in 2014. So in 2014, we'll see stable spreads and that will be good. We've seen that in 2013 and 2012, spreads have gradually reduced with the change of maturities on our stock. With new flows coming in at lower rates, we're seeing the change in our spreads across the board. And I'd say, that our target is to have a spread pretty stable throughout 2014, and business volumes will grow maybe low double-digit growth, we could see that. And that should be reflected in the different income items, keeping costs at a lower level in 2014, 1%, 2% below what they were in 2013. So the cost of risk will be pretty stable, as I said in the presentation. In 2013, it was pretty stable, and that means that already the growth of business volumes will all be passed on to the different items in the income statement, including net profit. And with the expectation at some stage, interest rates will go up, probably in 2015. We're expecting that to happen around mid '15. From then on, we'll see a rally in the returns we get. And I talked about the opportunities that we are analyzing. We're always analyzing on the basis of value. We want to increase our market share as we always have done, but we'll see marginal increases in market share in all the states where we're already operating. And of course, we'll analyze any opportunities that we consider worthwhile to see what their value is. Okay. Two final questions, one regarding Turkey. Mario Ropero from Fidentiis and Benjie Creelan from Macquarie asked about any guidance we might be able to give regarding the hike in interest rates. What do you expect to get in 2014 in Turkey? Do you see any kind of risk, long-term risks because of the exposure that we have in our loan book in foreign currency in Turkey? So those are the questions regarding Turkey.
Unknown Executive: During the presentation, when I was talking about Turkey, and Manolo, maybe you can give us some greater color on this, but we were saying the first part of the year, there'll be a clear improvement -- 2013, there was a clear improvement in spreads. The second part of the year, there was an increase in the cost of funding. So taking the year as a whole, the margins have grown, but there's been a slowdown because of the increase in prices in the second part of the year, which, basically, is going to continue throughout 2014. The beginning of 2014, we're seeing an increase in interest rates as we saw in the beginning of the week. And an increase in interest rates from a business point of view has seen a parallel increase both on the asset and the liable side -- the liabilities side. So in summary, what we're going to see for 2014, I would think would be it will take it as a whole, it's going to be slightly negative, because the spreads in Turkey, or in other words, the lending side will grow less than in 2013 because of the increase in treasure rates and would not offset the negative evolution of spreads. I don't think it's going to be very grave, but I think there will be a slight slip in the main lines of the income statement. If we look first at the effect of guidance yesterday guarantee -- talked extensively in the presentation of their results. They talked about the forecast for 2014, so I'll just add as you all know, the guarantee is negatively sensitive to increase in the treasure rates of around 6%, and the duration mismatch of about 2 quarters, so the liability comes out today faster than the assets. So in the short term, we see a suffering until these -- the assets are repriced, which is when the effect of the increase in interest rates will even have a positive effect. With regards to loans in foreign currencies, it is true that guarantee does have certain weight in loans in foreign currency. I think it's around 38% of their asset at the moment, but also has 44% of its liabilities in foreign currencies. So there's no real liquidity or risks or mismatch from this point of view. And we don't think there's a very high risk of NPAs in these portfolios where -- because most of these, we are talking about corporate, sophisticated groups and some of the largest group, the business group in Turkey. So this really doesn't create any great concern for us in the current environment. And the final question, as we're almost finished, Mario Ropero from Fidentiis asks about whether we can make any comments about the news that we've seen with the ruling on the sale of the Iraqi Group products, could this have an impact -- or what impact could be expected during 2014?
Unknown Executive: Well, maybe first of all, of course, the information we have with respect to what we've done with Iraski products -- we've got EUR 200 million. There is a total quantity, and most of the customers where we placed this kind of product has been with customers within the Mondragón Cooperative workers within the Iraski group. So that's the type of customer, which is a pretty uniform type. And the ruling has to do with 68 customers, fundamentally employees of the group, and the maximum impact would not even be EUR 500,000. So that's absolutely limited in terms of the impact of ruling only effects those specific customers, it wouldn't affect even all of the customers that have been involved in the placement that the bank did, so limited effect. Obviously, we will be appealing the ruling nonetheless. Okay. Well, in that case, having dealt with that final question, I just like to thank you for attending this webcast, and remind you that any questions that we couldn't answer because of time will be answered by the Investor Relations team sometime today, and we'll be getting back to you today. Thank you very much.
Unknown Executive: Thank you.
Unknown Executive: Thank you.